Operator: Good morning, ladies and gentlemen. Welcome to the La-Z-Boy Fiscal 2013 Third Quarter Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Kathy Liebmann, Director of Investor Relations of La-Z-Boy Incorporated. Ms. Liebmann, you may now begin.
Kathy Liebmann: Thank you, Melissa. Good morning, and thank you for joining us to discuss our fiscal 2013 third quarter results. With us today are Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer; and Mike Riccio, our Chief Financial Officer. Kurt will begin today's call and then Mike will speak about the financials before turning the call back to Kurt for his concluding remarks. We will then open the call to questions. A telephone replay of the call will be available for 1 week beginning this afternoon. These regular quarterly investor conference calls are one of La-Z-Boy's primary vehicles to communicate with investors about the company's current operations and future prospects. We will make forward-looking statements during this call so I will repeat our usual Safe Harbor remarks. While these statements reflect the best judgment of management at the present time, they are subject to numerous future risks and uncertainties as detailed in our regular SEC filings, and they may differ materially from actual results due to a wide range of factors. We undertake no obligation to update any forward-looking statements made during this call. And with that, let me turn over the call to Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer. Kurt?
Kurt L. Darrow: Thank you, Kathy. Good morning, everyone, and thanks for joining us today on our call. Yesterday afternoon, we reported our third quarter results for fiscal 2013. It was a strong quarter across many fronts. Consolidated sales increased 10.3%, our operating income increased 37% and our retail segment turned profitable with same-store sales for the La-Z-Boy Furniture Galleries store network increasing 11.8%. We also generated almost $36 million in cash from operations and increased our cash position while buying back shares, paying a dividend and purchasing the property for our new World Headquarters, all in all, a very good quarter. Turning our retail segment around has been a significant undertaking and quite frankly, took longer than expected, and I will address that in a few moments. But with the operation profitable, we will now be able to harness the earnings power of the integrated retail model and continue to make investments in our business to drive profitable growth and return to our shareholders. Sales of our upholstery segment increased 12.3% on top of a 10.7% sales comp in last year's third quarter. The operating margin for the segment in this year's third quarter was 10.1% compared with 9.1% in last year's comparable period. Our manufacturing facilities are lean and we will continue to leverage the fixed cost structure associated with them to drive bottom-line results. And while on the topic of manufactured, it was in indeed an honor for our Dayton, Tennessee, La-Z-Boy facility to be named by IndustryWeek magazine as one of the 10 Best Plants in North America for 2012. It is a competitive and coveted title to obtain and, in fact, the Dayton facility was a finalist for the prior 3 years before receiving the prestigious award last month. Lean initiatives are part of our company's DNA and we worked hard for years to implement them, and we'll continue to do so. Part and parcel to being efficient is the objective to deliver the highest quality products to our customers. This award recognizes the world-class manufacturing operation at our Dayton facility, which totals 1.2 million square feet of manufacturing. I am quite proud of the some 1,300 associates in Dayton who earned this recognition and thank them for their hard work and dedication, as well as that of thousands of other associates who work tirelessly everyday and contribute at all of our other facilities. We are continuing to invest in our Live Life Comfortably advertising campaign, and this quarter spent an additional $1.5 million compared with last year's third quarter towards that campaign. That said, as a percentage of sales, the spend was consistent with last year's quarter. As we have commented before, the campaign is driving a more qualified consumer to our stores, one who is looking for and finding on-trend furniture with a great value. Today's consumer better understands that La-Z-Boy is more than a recliner company and that we offer a wide array of stylish upholstered furniture. Our stationary product sales are growing at a much faster rate than motion, which is a key objective of the campaign given the size of the stationary market. At the same time however, with innovation being one of La-Z-Boy's key attributes and the basis upon which the company was built, we continue to have a great success with our power business and are pleased to be gaining traction in both categories, recliners and motion. As I noted a few moments ago, the written same store sales performance for the 316 La-Z-Boy Furniture Galleries stores was robust. We have just completed 8 consecutive quarters of strong written same-store sales comps, including 4 quarters of near double-digit growth and 4 that were above 10% or greater. Assuming all things remain equal, we would expect this quarter's written same-store sales comp to translate into strong delivered number for the upholstery segment in the fourth quarter. You may remember that in fiscal 2012 fourth quarter, we had a similar situation and those orders rolled in as delivered sales in the first quarter of fiscal '13. With ongoing strength in the business, we along with our dealer network, are keen to open additional La-Z-Boy Furniture Gallery locations. We believe the branded channel is the one with the most promise given the changing distribution landscape over the last several years and for us, it's the channel that has been exhibiting the most growth. Year-to-date, we have opened 6 new stores, relocated 3 and remodeled 4, with a couple of projects planned for the fourth quarter. Finding the right locations, the right square footage and lease structures, are paramount to success so we are not rushing the process, although we are eager to build out the store system as quickly as possible. Ultimately, we believe the demographics throughout North America will support approximately 400 La-Z-Boy Furniture Galleries stores. Now turning to casegoods. In this segment, sales for the quarter decreased 4.7% and the operating margin for the segment declined to 0.6%. Absent a charge for the probable adjustment for import duties, the operating margin would've been 5.1%. The changes we made last quarter to our Hudson, North Carolina manufacturing facility, where we closed the lumber processing operation and are sourcing wood parts, our cadence [ph] was fast and showing promising results as evidenced by what our performance would have been on the declining volume. During the quarter, we continue to enjoy momentum in our occasional line, which remains a good business for us with a wide range of customers, including the La-Z-Boy Furniture Galleries stores. Unfortunately, dining room and bedroom are challenged and it takes a lot of occasional pieces to offset the decline in sales for full groups of bedroom and dining room. However, we did introduce a number of collections at the October furniture market, which were all well received and they will begin shipping here in the fourth quarter. I'd like to spend a few minutes on our retail segment. For the quarter, we posted delivered sales increase of 24.6%. Without the recently acquired and new stores, our delivered increase was 6.1% as the segment turned profitable this quarter with a 3.7% operating margin and the segment is profitable for the 9 months ended January 26, 2013. It has been a long road to turn around this segment but we have made steady progress over the past 4 years to reach the point of where we are today. While there is still much work to do, we are well positioned to continue to progress. Let me take -- let me digress a moment to give you a little bit of history on our company-owned retail segment. While the company has owned some La-Z-Boy stores for more than a decade, it was really in the middle of 2000 that we embarked on an aggressive strategy to shore up the La-Z-Boy Furniture Galleries store system by taking over a number of troubled operations. Given the fact that most of our independent dealers were running profitable businesses and doing well, we used their operations as a guide post and had the confidence that with the right set of people and processes we could make the business we took over profitable. While these operations had challenges, they were in great markets with great potential, so we stepped in. In many cases, we needed to move stores to new locations within various markets and build out the markets with additional stores and we did much of this at the height of a real estate boom and entered some very expensive leases. Then came the financial crisis in late 2000, early 2008, early 2009 and our volume declined precipitously and significantly. Just before the financial meltdown, we had brought in a new management team who went to work making a series of changes throughout the operation. With significant changes in the cost structure and selling process, they hit the ground running with performance improvements and steadily moved the segment from a loss of more than $40 million several years ago to profitability today. Additional credit has to be given to our merchandising, product, marketing and sales teams for their hard work and contribution to the operations results. We've introduced compelling new product that is innovative and stylish with great value. We have a great sales team who is enthusiastically working with the design team, focused on growing the In-Home Design business. And we have a new concept design for our stores that is being rolled out across our network. All of this gives the consumer a great shopping experience at the La-Z-Boy Furniture Galleries store and a beautiful, comfortable room at home. For the quarter, traffic to our stores and website increased as did the average ticket, units per ticket and the In-Home Design business, and we continue to increase our gross margin as well. We also opened a third store in the Pittsburgh, Pennsylvania market in December and as with the first 2, the store's results have been strong from the beginning. The period also included the first full quarter with our southern Ohio operation. This business has a lot of potential. We talked through the years about harnessing the power of the brand and the integrated retail model, changed the earnings power of the company and we are now in a position to demonstrate the strength of this model. Our team has worked hard and we'll continue to do so to further improve the operation's performance. I'd like to take this opportunity to give a call out to the entire retail organization, noting their steadfast work, discipline and perseverance as demonstrated in the trajectory this operation has exhibited over the past 4-plus years. I will now turn the call over to Mike to review our financials. Michael?
Louis M. Riccio: Thank you, Kurt. As Kurt noted, for the fiscal 2013 third quarter, net sales increased 10.3% compared with last year's third quarter. Net income attributable to La-Z-Boy Incorporated was $17.1 million or $0.32 per share, which included a $0.04 related to gains on the sale of investments and a related tax benefit. This compares with last year's third quarter results of $15 million or $0.28 per diluted share, of which $0.07 per share was primarily due to a reduction of certain valuation reserves against the company's deferred tax assets and a $0.02 per share reflected anti-dumping duties received. We generated $36 million in cash from operating activities during the quarter. As a reminder, current fiscal 2013, we've transferred about $24 million to longer-term investments to enhance returns on excess cash. Additionally, we moved $7 million to restricted cash to collateralize letters of credit, which further reduces our interest cost. These longer-term investments are reported as other current assets and other assets on our consolidated balance sheet. We ended the third quarter with $112 million in cash and equivalents. As Kurt mentioned, this was after purchasing the land for our new World Headquarters, paying a dividend and buying back shares. Total debt at quarter end was $7.6 million and our debt to capitalization was 1.6%. And, as noted in our press release, we declared a quarterly dividend to shareholders in the amount of $0.04 per share, payable on March 8 to shareholders of record as of March 1, 2013. During the quarter, we also had other income of $2.4 million compared to other expense in last year's third quarter of $100,000. The other income for the current quarter primarily resulted from gains realized on sales of investments. Based on the nature of the investment gains being a recovery of the impairment reported in fiscal 2009, there is no taxable gain that will be reported on our 2013 tax return, therefore, the gain is reflected on the financial statements without any tax effect. The result of these adjustments was income of $0.04 per share. For the quarter, incentive compensation costs were higher when compared with last year's third quarter, relating to our continued improvement in sales and operating results for the full year period. The differential has narrowed to be only about $1 million. We expect the differential in the 2013 fourth quarter compared to the 2012 fourth quarter to be similar. Regarding the charge in the casegoods segment, U.S. customers have notified one of our casegoods company that the duty deposited for certain shipments was less than what was required for shipments from the exporter, based on some of the shipping documentation. We're looking carefully at the documentation and the applicable duty rates and may seek an adjustment while we have reserved the full amount covered by the notices. Capital expenditures for the quarter were $10.2 million and year-to-date were $21.8 million. For the quarter, our expenditures related primarily to the land we purchased for our new headquarters, the implementation of an E1 system as we continue on our several year project to replace our legacy computer systems and various equipment purchases. For fiscal 2013, we expect capital expenditures to be in the range of $27 million to $30 million and in addition to the E1 system, we will include or have included, costs associated with the new stores and remodels of existing stores, the normal replacement of machinery and costs relating to the development of our new World Headquarters. For the quarter, our effective tax rate was 33%. The rate was positively impacted by $1.1 million of adjustments, of which $1 million related to the non-taxable book gain on the sale of investments that I mentioned earlier. Without that adjustment, the effective tax rate for the quarter would've been more within our normal range. Last year's third quarter effective tax rate was 15.7% due to the impact of adjusting the valuation allowances on certain deferred tax assets and other discrete items. For the fourth quarter, we still expect our effective tax rate to be in the range of 36% to 38%. I will now turn the call back to Kurt for his concluding remarks.
Kurt L. Darrow: Thank you, Mike, and before closing the call, I want to update everyone on where we stand with respect to our new World Headquarters. In January, we closed on the purchase of 120 acres here in Monroe. The land purchase, combined with the finalization in December of a combination of Michigan State, county and local tax breaks and grants to support the project, paves the way for us to begin the final design of the building and the site. Currently, we estimate the cost of the building to be approximately $55 million and, as Mike mentioned, it will be funded through our normal CapEx over the next few years. Our goal is to break ground and begin construction in the spring, with the expectation we will move into the new headquarters in late 2014 or early 2015. We plan to build a LEED-certified building and continue the environmental stewardship that is critical to the way that La-Z-Boy operates. We look forward to hosting customers, suppliers and other guests from around the world to this landmark facility, which will provide an inspiring, innovative and collaborative work environment for our some 500 employees based in Monroe that will highlight our ever evolving image as a worldwide leader in the furniture industry. In closing, we are encouraged by the ongoing momentum in our business. That combined with an improved housing market, in what is historically our strongest volume period, makes us cautiously optimistic as we enter the fourth quarter. Profitable growth is our main objective and we will continue to make investments in the business to fuel such growth and provide a return to all of our shareholders. We appreciate you being on our call today and I will turn things back to Kathy.
Kathy Liebmann: Thank you, Kurt. We will begin the question-and-answer period now. Melissa, please review the instructions for getting into the queue to ask questions.
Operator: [Operator Instructions] Our first question comes from the line of Brad Thomas with KeyBanc Capital Markets.
Bradley B. Thomas - KeyBanc Capital Markets Inc., Research Division: I want to first ask just about this new world that we're in for the retail segment where it's making nice money. And Kurt, we've talked for years about having breakeven as a goal. What do you really think the potential is for retail and how do you balance -- and how much do you want to balance revenue growth with continuing to drive profitability in that segment?
Kurt L. Darrow: That's kind of a nice problem to now have, isn't it, Brad? It's a good question and I think you'll see with the normal seasonality of our retail business that the third and fourth quarter should be our most profitable quarters for retail, given the seasonality of the furniture industry and the first and second quarter will be a little more challenged. But our target for this segment right now is to make an operating profit in the mid-single digits. So we move from a breakeven level to a level -- to the store count we have today in that mid-single-digit area. And as we ramp up the store count and have more stores and perhaps, more markets, that could go higher someday. But right now that mid-single-digit operating target is where we're tasking the business.
Bradley B. Thomas - KeyBanc Capital Markets Inc., Research Division: Great. And then it's obvious that you guys are doing very well in your company-controlled channels. Can you talk a little bit about what the landscape looks like in terms of the independents and some of the major dealers that you sell to?
Kurt L. Darrow: Well, I think our numbers speak for themselves, Brad. I mean that's 2 consecutive quarter in the upholstery segment with double-digit increases, so that can't be done on the company-owned segment alone. So our independent dealer stores and our other customers are enjoying similar growth rates and we see similar success across a number of different channels. The stores are probably having a little more success than the balance in some of our general distribution but most segments of our distribution are contributing to our success.
Operator: Our next question comes from the line of Chad Bolen with Raymond James.
Chad Bolen: I guess, my first question, I mean obviously Kurt, written comps for the quarter were terrific on top of really nice growth in the prior year as well. I think there's some concerns out there about the near-term consumer spending environment right now due to higher taxes, rising gas prices, a bit of a later tax refund season. Can you give us any insight into the order activity you've seen in February and maybe how you did over the President's Day weekend?
Kurt L. Darrow: Well, we share all those same concerns and I know there's been a lot of noise in the press about Walmart and some other retailers who deal with customers with tight discretionary money and the changes with the taxes and all. Our customer isn't quite as affected but certainly, the combination of all the uncertainty, the gas prices, all this, will weigh on us over time. Our pace of business through February has not changed as dramatically. We're satisfied of how we're trending. We've just finished the last major holiday until Memorial Day so there's not a big impetus here in March, April and May and until the end of the month. So we've gone through the peak cycle here of volume but we haven't -- we wouldn't report any noticeable change today to the pace of business but that doesn't mean we don't share some of the same concerns that you mentioned.
Chad Bolen: Okay. Great, that's very helpful. And I guess, talking a little about the casegoods segment. You talked about the 450 basis point drag due to having to increase that deposit. Just to make sure I understand the impact, right, so I guess should we assume that the margin for that segment would rebound towards those mid-single-digits depending on what happens with volume and next quarter? Was it sort of a one-time catch up and now we moved past it.
Kurt L. Darrow: That would be our anticipation. And as we said, the charge was about $1.5 million, you add that back in the quarter to the real earnings before the charge and they're right in the 5% range. So we don't see anything in our forecast or our business model right now that would back us away from saying that business should perform in the mid-single digits.
Chad Bolen: Okay. And a last question for me, of course, congratulations on the return to profitability at retail. It's just terrific to see. I think I heard you say that retail gross margin was positive year-over-year. You gave us a little color in the Q about the wholesale segments and the changes in gross margin and SG&A. Can you give us a little bit more detail around the improvement at retail op margin? How much is from gross margin, how much from SG&A, that sort of thing?
Kurt L. Darrow: Well I think the answer to that question, in a broad sense, Chad, the improvement in SG&A comes from the additional volume, lowering your occupancy and some of your fixed salaries and things of that nature for your retail business. The gross margin is always a combination of promotion, mix, percentage of in-home design, all those things. There isn't one thing that I could point to that was a standout. It's the combination of factors and of selling a better product mix and hitting the value for our product at retail that we think it deserves. So our team did a great job in their merchandising and their mix and in their promotional plan to still have pretty solid comps with an improved gross margin.
Operator: Our next question comes from the line of Todd Schwartzman with Sidoti and Company.
Todd A. Schwartzman - Sidoti & Company, LLC: I wanted to talk about the average ticket. Maybe if you could break it down by ranking, the sources of increase in tickets, for example, number of items per transaction, the price of the frame itself, the price points of fabrics involved. What's really driving that? Is this more just your plain whole room collections? How would you rank those?
Kurt L. Darrow: Well, we have all that data and we analyze it pretty thoroughly every week and every month. But we're not going to reveal all that information Todd. Suffice it to say that we've made improvements. We've made a lot of improvements from 4 years ago on our gross margins. I think the upward mobility of our gross margin trend is reaching a high level that we don't see a lot more opportunity. But it's just the nature of our business and the way we've changed it and selling value-added options like power, like In-Home, like Memory Foam on chairs, so the more options we sell, the more special orders we sell, all those things add to our gross margin, but we're not going to get down that level of quantification.
Todd A. Schwartzman - Sidoti & Company, LLC: Okay. And on ad spending for Q4, any change sequentially and also maybe we could stick to the mix, are you planning to increase certain media, such as Internet, to attract younger consumers or how should we think about the spending going forward?
Kurt L. Darrow: Well we've continued to ramp up our spend in dollars, so we're projected to perhaps, to have as much as $100 million volume increase this year and so even if the percentage stayed the same, we would spend $4 million, $4.5 million more in marketing at the same percentage and we're comfortable doing that. And then we're spending the majority -- our mix hasn't changed dramatically, Todd, but we're spending the majority on broadcast, on television and the Internet. Less and less all the time on newsprint and mailers and the other 2 factors are the biggest spend in our budget.
Todd A. Schwartzman - Sidoti & Company, LLC: All right. Before long, where people aren't going to get mailers on Saturday anyway, so that's probably a good thing. Last quarter, Kurt, you mentioned that you saw initially no meaningful impact of Superstorm Sandy on your business. I wonder if there's any updates to be had there. And also, was there any adverse affect of last week's snow in the Northeast?
Kurt L. Darrow: The comment on both of them is first of all, it's hard for us to sit here and say there's no adverse effect on it when the impact that it had on the people living on those areas was pretty dramatic. But from our overall North American business, compared to the number of stores we have in northern New Jersey and New York, and also the number of stores we have in the Northeastern Boston, and off of the snow, we can't discern anything that would be material or significant in our results. In all likelihood, probably, the snow had more impact on us in particular than Hurricane Sandy, but very difficult things for the people who live in those areas but nothing that we would call out significant to our business cycle.
Operator: Our next question comes from the line of Matt McCall with BB&T Capital Markets.
Matthew Schon McCall - BB&T Capital Markets, Research Division: So I think you've highlighted expectations for the upholstery segment on the margins -- for the casegoods segment on the margin side, the retail segment. What about an update on the upholstery side and specifically, I'm curious if there's any new way to look at incremental margin by segment?
Kurt L. Darrow: Well, our target for our upholstery business isn't really been modified very much, Matt. We want to perform at a double-digit operating level and at a mid-single-digit on the other 2 segments, so that hasn't changed. And we've given a conversion rate, an incremental margin rate on the entire business and we said that's in the 20% to 30% range. And this quarter, without the duty charge, we would have been in the 25% range so that -- we're comfortable with that. To break it down by segment in each quarter, there may be something happened within one of those segments offset by something else. We just aren't going to get down to that granularity. We're going to stay at the stated objective of a 20% to 30% conversion on incremental volume throughout the organization.
Matthew Schon McCall - BB&T Capital Markets, Research Division: And you mentioned more special orders and I think in the release you talked about quicker lead times or shorter lead times on custom products. Can you talk about how important or how differentiating the Mexico facility is? Is it what helps you reduce lead times on custom products yet not take up your cost of those prices of custom products.
Kurt L. Darrow: Well I think it's a whole strategy and philosophy, Matt. I mean first of all, you have to have that strategy at retail and be able to sell it and be able to sell with confidence the special order capabilities, the choice of 1,000 fabrics on 400 frames and getting it to the customer at a relatively short period of time and through the La-Z-Boy stores, we're pushing at times 35%, 40% of a month's business with special order. It is what differentiates us. I think we have more choice and deliver it faster than any manufacturer in the industry. Mexico aids in that process by being within 48 hours of being able to deliver cut-and-sew kits to our plants for customer orders. And so it's the whole strategy -- you can't do one without the other. You can't have the success of the manufacturing without the selling strategy at retail, so this whole thing about choice, custom and speed is something we work on very hard and we think it's an added difference for La-Z-Boy dealers.
Matthew Schon McCall - BB&T Capital Markets, Research Division: Okay. And then a lastly, as before, I just wanted to get an update, and as part of the ad campaign aimed at boosting or targeting a younger demographic. Any update there, any success? It seems like everything is kind of moving in that right direction. I was just curious about if that's -- curious as to whether that's having success.
Kurt L. Darrow: I don't have any quantified data at this point, Matt. We're probably going to do a deeper dive this summer with some research. It will have been 2.5 years since we launched the campaign and to get some new information on that. Obviously, we believe higher penetration with the older customer and the degree of the younger customer that we are getting into our store, we can see some of it but quantitatively, I couldn't tell you how much that's changed and we'll have a call out on that in the next 6 months as we complete the research.
Matthew Schon McCall - BB&T Capital Markets, Research Division: And then one follow-up, did you give a store growth number this year, either total or company-owned?
Kurt L. Darrow: No, we will do that at the end of the fourth quarter when we give you our plans for fiscal '14. We've got a lot of things active, not a lot of signed leases right now but a lot of things that are being worked on and we need to tally those all up, and get the commitments from our independent dealers as well. But suffice to say it's a high priority and we want to move towards that 400 store level as aggressively and prudently as possible.
Matthew Schon McCall - BB&T Capital Markets, Research Division: So a safe assumption, maybe it comes in a little or above where you're -- what you're trending at this year.
Kurt L. Darrow: We would hope so.
Operator: [Operator Instructions] Our next question comes from the line of John Baugh with Stifel, Nicolaus.
John A. Baugh - Stifel, Nicolaus & Co., Inc., Research Division: Could we go into raw materials and pricing on upholstery, sort of the layout, what you see unfolding in the next say, 12 months?
Kurt L. Darrow: Well John, that's in a week and over the next 12 months it's kind of clouded for us and the back 6 months of that. I'd give you an update. We said this year, we thought raw materials would be in the $16 million to $18 million range and it looks like it may end up only in the $10 million to $11 million range, but there's continuing to be some pressures and with what's happened with gas prices recently that's not helpful. But we don't have our total forecast for next year put to bed yet. Again, we will give more color on that when we release our year and talk about '14, but it's going to be up. To the degree it's going to be up, I can't quantify right now. But we see no easing of raw materials at this point.
John A. Baugh - Stifel, Nicolaus & Co., Inc., Research Division: But I would assume, you've got some price flexibility and with hopes not to see the EBIT impact. Is that a safe assumption as it relates for raw material versus pricing?
Kurt L. Darrow: That's always our intent, John. And I would think -- because I don't think the magnitude of it is going to be such that it isn't really going to change our competitive nature, I would think we'd be able to cover that with any merchandising changes [indiscernible] margins.
John A. Baugh - Stifel, Nicolaus & Co., Inc., Research Division: And then on casegoods, I know you introduced some collections in that overall category, but the industry seems to be anemic still. But is it your expectation that, that revenue line item can flatten out? I mean, it's been constantly falling for how many years. But is there hope that, that revenue line is going to actually flatten out based on what you're doing, even if the market's weak, or how do we sort of think about that revenue?
Kurt L. Darrow: Yes, I think we've -- you're right, it has been going down quite a bit over the last 4 or 5 years. I think we've hit bottom, John. And we've been bouncing 1 quarter, $34 million, 1 quarter, $36 million back and forth. I don't think you're going to see volumes go down on year-over-year basis another 10% or 20%. I just don't think that there's that much continued weakness. It is the most challenged part of the furniture business. Mattresses and upholstery are doing much better than wood furniture, but I think we'll be bouncing along this level until there's a little bit more strength in housing. The decline in the housing market and the lack of new houses has hurt the casegoods business more than any other part of the industry. Mattresses and upholstery have a natural replacement cycle. There has got to be a monumental event in the family to replace your bedroom and dining room, and moving or building a new home is normally that event, and those things haven't been happening.
John A. Baugh - Stifel, Nicolaus & Co., Inc., Research Division: And then you mentioned $55 million for the headquarters. How much of that roughly will fall into fiscal '13 and then any thoughts on '14 and '15, how the remainder spreads out?
Kurt L. Darrow: We don't have everything finalized yet. We're still in the design phase but I would say the majority of it would fall in '14, '15 and whatever little might be left over into '16, but it should be sequenced pretty steady, certainly not going to be $40 million one year, $10 million another year. There will be a balance to it.
Operator: Ms. Liebmann, there are no further questions at this time. I'd like to turn the floor back over to you for closing comments.
Kathy Liebmann: Thanks very much, Melissa. I appreciate -- we appreciate everybody's participation this morning. If you have follow-up questions, I am available this afternoon and look forward to speaking with you. Have a good day.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Have a wonderful day.